Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Ark Restaurants Second Quarter 2012 Results Conference Call. [Operator Instructions] This conference is being recorded today, May 15, 2012. I would now like to turn the conference over to our host, Mr. Bob Stewart, Chief Financial Officer. Please go ahead. 
Robert Stewart: Thank you, operator. Good morning, and thank you for joining us on our conference call for the second fiscal quarter ended March 31, 2012. With me on the call today is Michael Weinstein, our Chairman and CEO; and Vincent Pascal, our Chief Operating Officer. For those of you who have not yet obtained a copy of our press release, it was issued over the newswires yesterday and is available on our website. To review the full text of the press release, along with the associated financial tables, please go to our homepage at www.arkrestaurants.com. 
 Before we begin, however, I'd like to read the Safe Harbor statement. I need to remind everyone that part of our discussion this morning will include forward-looking statements and that these statements are not guarantees of future performance, and therefore, undue reliance should not be placed on them. We refer everyone to our filings with the Securities and Exchange Commission for a more detailed discussion of the risks that may have a direct bearing on our operating results, performance and financial condition. I will now turn the call over to Michael. 
Michael Weinstein: Hi, everybody. This is a good quarter. We saw decent comp sales gains in every market that we're in. The overall was about an 8% increase, 8.2%. But our New York stores are somewhat bolstered by good weather. We're up 19%; our D.C. stores up have 34%; our Atlantic City stores, 32%; Boston was down 20% because we had a fire there that closed us for a few weeks; and Las Vegas was up roughly 2.5%, 3%. 
 Las Vegas continues to improve but at a slower rate. And obviously, good weather in the northeast has a stronger impact on our sales. It sort of exaggerates it. And we had just spectacular weather through the March quarter. These sales increases are actually continuing into April. April was a very good month for us. EBITDA was ahead of last year. So we're showing strong performances. The P&L or the EBITDA for the quarter was impacted dramatically by our early startup losses at our newest restaurant, Clyde's. 
 We had a lot of difficulty getting that store open because we went through an excruciating permit process with the City of New York, where the building department is backed up dramatically. It took us forever to get our permits. And during that period of time, we were covering -- carrying heavy overhead while we're getting the store open. So the preopening expenses there were exaggerated. We have early operating losses there during the March quarter. The operating losses are diminishing week-to-week. This past week we may have broken even. We're very confident about that store but it is a big, big investment for us, and a key point in our strategy of moving EBITDA forward. So we're relying on that to be a big contributor in the future. That's about it. It's just -- it's been a really good quarter, a really good April. And we look forward to a very strong June quarter. So I'll take questions right now. 
Operator: [Operator Instructions] And I am showing no audio questions at this time. Please continue. 
Michael Weinstein: All right. Well, thank you. As I said, we look forward to another June quarter, and see you in a couple of months. Thank you. 
Operator: Ladies and gentlemen, this does conclude the Ark Restaurants Second Quarter 2012 Results Conference Call. You may now disconnect.